Operator: Hello and welcome to CorEnergy’s Conference Call to discuss the First Quarter 2022 Results. I would now like to turn the call over to Matt Kreps, Investor Relations for CorEnergy. Please go ahead.
Matt Kreps: Thank you, everyone for joining today's CorEnergy Infrastructure Trust conference call. With me today are Dave Schulte, CEO; John Grier, COO; and Robert Waldron, CFO. Earlier this morning, we published a press release announcing the first quarter results for 2021. We expect to file our Form 10-Q this afternoon. You can also access a webcast replay of this call on the investor section of the company website at corenergy.reit typically this is available within a couple of hours calls end. I would like to remind everyone that statements made during the course of this presentation that are not purely historical may be forward-looking statements and are subject to the Safe Harbor protection available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available on the Investor Relations section of our website. We do not update our forward-looking statements. During this call, we will make reference to certain forward-looking non-GAAP metrics, which will be reconciled in subsequent filings as part of our results reporting. We encourage all of you to review our complete disclosures, risk factors, GAAP financial numbers, and those non-GAAP measures with related reconciliations. And with that, I would like to now turn the call over to Dave Schulte. Please go ahead.
Dave Schulte: Good morning, everyone. After I discuss our current operations, John Grier will discuss CorEnergy's strategic position in the lower carbon economy and then turn the call over to Robert for financial commentary. And our company story is relatively simple with regulated oil and gas revenue structures, mitigating volume risk and a longer-term opportunity to repurpose assets into lower carbon service in California. With MoGas, we have a very stable natural gas transmission and distribution assets in the Century United States. These assets operate under long-term contracts with take or pay characteristics, supporting growing residential, commercial and industrial markets. Natural gas is expected to continue to be used by our shippers for basic utility needs for a very long time. With Crimson, we have a crude oil gathering and transmission asset in California. These assets also provide service under fixed fees for volumes transported with long-term investment grade customers. We have successfully integrated various pipelines and as necessary in any mature industry, we believe we are in the best position to manage network cost and reliability for the benefit of our customers. However, since our assets primarily generate revenue based on a cost-of-service model, we can and will continue to mitigate the impact of any longer-term volume declines with periodic tariff rate increases to the extent necessary. We are reviewing our tariff structure and preparation for our next filing to potentially also reduce quarterly revenue fluctuations. And over the medium term California Transportation System that we own will benefit from Phillips 66 plans to convert their day refinery to renewable diesel production and no longer process crude oil by 2024. Those crude volumes are expected to continue to be produced in the state, but we'll need a path to different refineries, such as the Crimson pipelines and among other possible routes. I'll now turn the call over to John Grier, our Chief Operating Officer and the Founder of Crimson midstream to discuss our position in a lower carbon future. John?
John Grier: Thanks, Dave. Our pipelines remain critical to California's global leading lower carbon energy economy. If we are successful, our pipelines will also be important to its future carbon reduction efforts. As we outlined in our inaugural ESG report our pipelines are the most carbon efficient means of transporting large volumes in the market today. Every barrel of oil Californians consume that is not produced in state is either imported by ships or transported by rail. This incurs a far higher carbon footprint versus our more efficient pipelines. Ships waiting to offload in the Port of LA or Long Beach, or San Francisco, burn an estimated 4 tons -- 4 million tons of fuel a day and more win in transit. Meeting CO2 end of the year, throughout the journey, including a significant amount into the communities we serve. Additionally, California oil is produced under the strictest environmental and most rigorous regulatory rules in the world. The carbon emissions from California producers are among the lowest in the global oil industry and its refineries produce the cleanest burning formulation of gasoline in the world, by virtue of being a highly efficient transportation system connecting in-state production to in-state refining we already help provide the greenest barrel of oil in transportation fuels in the world. But we can do more and we're taking steps to do so as the global economy transitions to a lower carbon future. We have an important and significant opportunity in our California footprint to help reduce greenhouse gas releases through carbon capture and sequestration or CCS. The commercial case for CO2 capture is better in California than in most of the stage, which provides us with longer-term growth potential as part of the network connecting emissions with storage. In fact California Air Resources Board or CARD released their revised climate plan yesterday, which indicated CCS will be a necessary and significant contributor to the state meeting its climate goals. We believe we are in the best position to participate due to our expertise in operating pipelines in the state and our available inventory of physical assets including the easements and rights of way to accelerate development timelines and minimize overall costs of these projects. We have spoken about our potential for engaging with project developers and have begun working on specific mandates to enable the transportation of CO2. I am happy to announce that we signed our first non-binding MOU with a carbon sequestration project developer to provide a transportation solution from origin to destination with several opportunities to expand both in reach and volume. The company is in further discussion with other developers for the transportation of CO2 and we believe this contract will be the first of many. The MAU and these discussions put us on the doorstep of a project scoping in participation with shippers in contracting parties. With that, I'll turn it over to Robert to address the financials.
Robert Waldron: Thanks, John. Looking at the results first quarter revenue was $32.9 million with steady performance from MoGas and Omega and lower overall volumes in California, reflecting the continued temporary closure of the offshore amplified pipeline and the continued delay of new drilling permits that would bolster production volumes potentially shift on our line. We do see near-term opportunities ahead in transportation volumes at these two situations of remedy. We anticipate the return this fall of the Amplify offshore production volumes that feed into our system. As a reminder, these barrels were lost late last year, due to an underwater pipeline break in the third-party system not owned by the company, prior to the break the pipeline accounted for 1.2 million barrels of annual volume and a sizable boost to our cash flow of approximate $1 million. Digging into the permitting issue a bit more in October 2021, a court ruled that Kern County may not issued new drilling permits under our recently revised environmental impact report until a legal challenges rolled on by the court. The state could issue new permits needed to maintain production, but has slowed issuance significantly. The hearing on the EIR challenge has been delayed until late this month. But we’re optimistic permits will begin being issued by the County once that hearing takes place. Adding pressure large producers in the state have sued for relief from this lack of permitting. Producers have expressed the desire to increase production, should permitting issues be resolved as oil pricing is at levels that provide attractive returns for new wells. As to dividend coverage for the three months ended March 31st 2022, we had adjusted EBITDA of $12 million, adjusted net income of $4.7 million and after providing for maintenance capital and debt amortization, adjusted cash available for distribution or adjusted CAD of $2.5 million resulting in a robust 3.3 times common dividend coverage. The Company's Board declared dividends on all preferred obligations during the first quarter and a $0.05 per share dividend on our common stock. No dividend was declared on Class B common stock. We will only begin paying a Class B dividend once we are confident the Class B dividend can be maintained in the foreseeable future at the minimum 1.25 required coverage ratio for all common and Class B. As a reminder, the Class B common is owned by management and feature subordinated dividend rights that are specifically designed to prioritize the dividend to our external shareholders. As a potential added benefit to our investors, in 2022 we expect to characterize at least some percentage of our dividends return of capital due to our losses from 2020, which may provide favorable tax circumstances to many of you. Reviewing our 2022 outlook, we are revising our target range from $44 million to $46 million in adjusted EBITDA down to $42 million to $44 million. We still expect $8 million to $9 million of maintenance capital expenditures. These expectations are revised to accommodate the previously mentioned delayed return of the amplified offshore volumes and a softer volume outlook, primarily due to the delay in court proceedings around drilling permits. There will be some quarterly variability in dividend coverage, due to timing of maintenance spend, which is expected to be higher in Q2 and Q3, than Q1 and Q4 based on our current maintenance schedule. On Page 50 of our 10-Q to be filed later today, we have provided a table of quarterly expected maintenance capital expenditures for the remainder of 2022 to help in understanding of this variability. Our Board takes this into consideration this quarter in evaluating our dividend declaration. I also want to remind everyone of the perspective forward-looking capitalization table located on Page 54 of our 10-Q to be filed later today. We maintain this table, because we believe it combined with our GAAP financial information provides further insight into the non-controlling interest reflected on our balance sheet. We finished the quarter with liquidity of approximately $37 million, including cash of $13.3 million and $24 million of undrawn revolver availability. We took the opportunity to fix the floating rate on our bank debt through November to mitigate the risk of further interest rate increases. We are presently looking at sequestration projects opportunities with a target of five to seven build cost on investment as a hurdle rate. We do not anticipate the need for external equity to fund the investment required for the carbon sequestration project, John previously mentioned. At this time, we will take questions from our covering analysts or institutional stockholders before closing the call. Thank you.
Operator: Certainly, the floor is now opened for questions.  Your first question is coming from Greg Fleissner with Stifel. Please pose your question, your line is live.
Greg Fleissner: Hey good morning. Just wondering about the Amplify pipeline, I know you guys said it's coming on this fall or expected to come on this fall. I was just wondering as far as the volume picture looks on that. Should we expect, kind of, similar volumes going forward as you had historically?
Dave Schulte: Robert, can you answer that.
Robert Waldron: Yes, you know, it's hard to know exactly what they've been doing. So I -- it's hard to speculate, but based on where it was producing prior was just a little under 5,000 a day.
Greg Fleissner: Okay, thank you. Yes and that’s helpful. Going to the carbon sequestration MOU, just kind of, wondering as far as next step goes, kind of, what we should be looking out for to come through, as far as announcements goes, and if you could kind of maybe put some goalposts around when we can expect some kind of announcement if it's too early, I understand. But then also going off that just, kind of, looking at your existing pipelines, I know you said you can utilize our right away, which is good. I was just kind of wondering if you could kind of comment a little bit more on the transition of pipelines in the CO2 transportation? And kind of what that looks like for cost?
Dave Schulte: Yes, John, why don’t you talk about, sort of, next steps and then Robert if you needed follow-up a financial implications, that's great.
John Grier: Sure. Thanks, Dave. The timing on that is that there is a project that is ongoing in which there is a continuing -- there is a project that makes good sense for us in terms of what has been signed up so far and it continues and it is apt to increase in size and scope as I mentioned. And so there is a good project going forward, there are permits that need to be obtained in order to move the project forward. And the next thing for us to look for is announcements of filings and permits and things that go along those nature. In the sense of there being future projects we're talking to other companies and I think there is progress that we will make. I will say that we have been hesitant to make an announcement until we had something sort of more solid in our hands. And so we do have a signed MOU and we have sort of held off on that. But relative to the other pipelines and rights of way that we own, yes, they are in good places that allow us to use our rights of way and we’re in discussions about that moving those forward as well.
Greg Fleissner: That answers the question.
Robert Waldron: Hey, John, maybe I'll just add a couple of things to it or directed to CRC, I think they're probably the leader out in front of everyone in California right now, and you can look at their disclosures on when they expect this is regarding timeline when they expect to bring projects online. I think their first injection is 2025 and they are expanding that by 2027. So that's obviously you have to have the reservoirs permitted in functioning before you can, you can connect the pipelines in the capture piece. So that's that probably takes timeline. And then just on the economics as mentioned in the call, we target a hurdle rate of 5 times to 7 times, so these are pretty attractive projects for us and the thing that really maybe is overlooked is that they're utilizing an existing right of way not only produces cost, but also I think reduces uncertainty around some of the permitting and securing of rights of way, compared to a greenfield project.
Greg Fleissner: Got it. Thank you. Yes, that’s really helpful commentary. I appreciate it. And then I guess lastly, just wondering if you have anything you're seeing more in the traditional asset sides as far as the acquisitions of assets go, kind of, if you could just talk about how the market looks as far as pricing and such?
Dave Schulte: So I think that question was aimed to -- yes I guess that question was aimed to me, we’re primarily engaged in what are more negotiated transaction opportunities. We do try to stay engaged with marketed processes. Many of those include assets that are not good REIT qualifying assets, but they do give us insight as to activity levels and valuation multiples. We've been in a pretty favorable interest rate environment for banks generally have been pulling back on availability in our sector. So there needs to be more equity or more creativity around the consideration received by the sellers in these transactions. And so sellers are open to longer-term exit potential including taking equity or retaining equity in the company that they're selling. Those are the things where we think we have an opportunity where the structure we have is, has a competitive advantage, because we have as a REIT to know inside tax and as a 10.99 security, we have good access to capital and potentially better liquidity than an MLP structure and a company of our size. So multiples have they've looked to be coming down, because of now higher interest rates and still hesitancy around banks lending and at our current trading value there is accretion potential or we won't move forward.
Greg Fleissner: Great, thanks. That's it for me.
Dave Schulte: Thank you.
Operator: There appear to be no further questions in queue at this time. I would now like to turn the floor back over to Dave Schulte for any closing remarks.
Dave Schulte: Under any version of energy transition plans that we've seen, our company is poised to serve customers and our nation's critical needs for decades. And in the California economy itself is one of the largest economies in the world and we're committed to doing things the right way, ensuring that we're operating in a safe and efficient manner at all times and our disclosure policy matches that will be circumspect about making announcements until we feel that there is some from substance. And that we are able to participate in a meaningful way. Thanks everyone for joining us today on the call will be hosting meetings at the upcoming EEIC Conference next week, please contact our IR team, if you'd like to meet with us at that event or arrange an alternative meeting time or call. Thanks and have a great day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.